Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Eltek Ltd First Quarter 2022 Financial Results Conference Call. All participants are present in a listen-only mode. Following management's formal presentation, instructions will be given for the question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded. Before I turn the call over to Mr. Eli Yaffe, Chief Executive Officer; and Ron Freund, Chief Financial Officer, I'd like to remind you that Eltek's earnings release today and this call include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, and the Securities and Exchange Act of 1934, as well as certain non-GAAP financial measures. Before making any investment decisions, we strongly encourage you to read our full disclosures on forward-looking statements and use of non-GAAP financial measures set forth at the end of our earnings release, as well as review our latest filings with the SEC for important material assumptions, expectations, and risk factors that may cause actual results to differ materially from those anticipated and described in such forward-looking statements. These forward-looking statements are projections and reflect the current beliefs and expectations of the company. Actual events or results may differ materially. Eltek undertakes no obligation to publicly release revisions to such forward-looking statements to reflect events or circumstances occurring subsequent to this date. I will now like to turn the call over to Mr. Eli Yaffe. Mr. Yaffe, would you like to begin, please?
Eli Yaffe: Thank you. Good morning, everyone. Thank you for joining us, and welcome to Eltek's 2022 first quarter earnings call. With me is Ron Freund, our Chief Financial Officer. We will begin by providing you with an overview of our business and summary of the principal factors that affected our results in are first quarter, followed by the details of our financial results. After our prepared remarks, we will be happy to answer any of your questions. By now, everyone should have access to our press release, which was released earlier today. The release will also be available on our Web site, at www.nisteceltek.com. In the first quarter of 2022 we recorded revenue of $9.8 million despite the challenging supply chain and the labor environment. This revenue reflects an annual increase of 15% relative to our revenue in 2021. Our forecast is that the defense aerospace and space sectors will perform better in 2022 than in the last year. Our employees did an excellent job of maximizing the production by maximization of throughput per hour, resulting in increased efficiency. During the first quarter of 2022, we mitigate all of the material price increase through additional cost savings, adjustment in the mix of raw materials used during the manufacturing process, and product price adjustments. The first quarter of 2022 reflects the continued increase in order received from our customers. We ended the quarter with a backlog of 50% greater than the backlog of 2021 year-end. Our PCB book-to-bill ratio was 1.4 for the first quarter of 2022, which means that our accumulation of new orders was higher than our revenue recognition. The significant increase in the backlog is due to several factors. Factor number one; the current status of the COVID-19 pandemic enable most of our customers to return to normal level of business operation, including our customers in the Far East, and particular in India. In Israel, we did not face significant absence of employees due to the isolation requirements. In addition, the [reimbursement] [Ph] of the COVID-19 pandemic in China create a shift of manufacturing order of non-defense PCBs to the western market. Factor number two; during Q1 2022 we had no delays in raw materials supply, and our increase in inventory levels allowed us more flexibility in our production cycles. Factor number three; the political and security situation in Europe caused governments to increase their military budget, and Eltek as a supplier of significant components to defense system manufacturers, and influenced positively by it. In addition, the [inflationary] [Ph] pressures and the continued labor challenges in North America help us in the being competitive in price and lead time. Factor number four; increase in demand due to the continued strength of shifting back to the western [countries] [Ph] PCB manufacturing, previously performed in the Far East, due to the [heightened] [Ph] security consideration. Furthermore, some of our customers suffered from the lack of critical components which force them to redesign their PCB using available components. This redesign led to further request for a quotation, some of which we won. All of these four factors contribute to our backlog and revenue growth during the first quarter of 2022. I should also mention that we recently won a new sales order wherein we will be provide a fully turnkey product to one of our tier 1 customers by outsourcing the assembly service requested. We will further investigate this need and its potential for the future. The increased demand for the company product has led us to decide to accelerate our investment program. During the first quarter, we began the first phase of the program, which include investment in amount of $9 million. This phase is expected to last two years. The program include investment in new production lines, as well as in infrastructure in order to enable us to increase the company production capability as well as its efficiency. We expect that the phase will allowed us to -- that the first phase will allowed us to increase our yearly sales by $5 million to $8 million, based on the continuity of the increased demand for our products. The total investment program amount is $15 million. During the first quarter, we continued to experience significant increase in the price of raw materials. We communicated this increase to our main customers and adjusted our selling prices. Nevertheless, we continue to invest efforts in improving our manufacturing processes and our efficiency in order to be more flexible in our pricing policy. Demand for employees continue to be high in our industry, and in a similar one. The situation impair our production capability, and sometimes even force us to raise wages level in order to achieve our target. Our investment program mentioned before include automation component in order to help us to deal this difficulty. Eltek’s long-term strategy remain unchanged focused on high technology PCB in order to maintain our differentiation capability and service as highly valued partner to our customers. I will now turn the call over to Ron Freund, our CFO to discuss our financial statements.
Ron Freund: Thank you, Eli. I would like to draw your attention to the financial statement for the first quarter of 2022. During this call, I will discuss also certain non-GAAP financial measures. Eltek uses EBITDA as a non-GAAP financial performance measurement. Please see our earnings release for its definition and the reasons for its use. Now, I will go over the highlights of Q1 2022. Revenue for the first quarter of 2022 totaled $9.8 million, compared to $7.2 million in Q1 2021; an increase of 35%. The increase in revenue is mainly due to the shortage in raw material in 2021 and the negative effect it had on our sales in the first quarter of 2021. [Technical difficulty] the gross profit of $1.1 million in the first quarter of 2021 [indiscernible] outcome of the increase in revenues. Operating profit amounted $0.7 million in Q1 2022 compared to $0.1 million in 2021. Fluctuation of the U.S. dollar against the Israeli Shekels contributed to our Q1 2022 result of operation. And we recorded the financial income in the amount of $0.1 million. We have recorded for the first time [technical difficulty] $0.1 million due to the deferred tax asset we recorded in 2021 year-end. [Technical difficulty] was recorded based on technical difficulty] that it is more likely [technical difficulty] that the company will utilize cash flow carry forward in future years. Net profit was $0.6 million or $0.11 per share in Q1 2022 compared to net profit of $0.2 million or $0.04 per share in Q1 2021. EBITDA was $1.1 million in 2022 compared to $0.6 million in 2021. As of March 31, 2022, we had cash and cash equivalent of $1.9 million. This cash balance and the anticipation cash flow from operating activities [technical difficulty] flexibility in operating our business and financing our accelerated investment program that Eli mentioned earlier. We are now ready to take your questions.
Operator: Thank you. Ladies and gentlemen, at this time we will begin the question-and-answer session. [Operator Instructions] The first question is from Michael [Wood] [Ph]. Please go ahead.
Unidentified Analyst: Hello. Hi, thanks for taking my questions. So, my first question is do you guys have any estimate of [indiscernible] revenue you guys got from this quarter because of the manufacturing issue in China as they cannot ship orders to you?
Eli Yaffe: Hi, Mike. And how are you? No, [technical difficulty], but -- we don’t have exact number, but we estimate that it is [indiscernible] to shift back from China to Israel because we got approached by customers that ask us to [indiscernible] back to Israel. But we don’t have -- I don’t have exact number.
Unidentified Analyst: Okay, that’s fine. Do you have any like -- do you see continuing this kind of translates more customers try to carry about this -- the manufacturing issues in China?
Eli Yaffe: Yes. As I told during my previous comments, I forecast that the shift will continue.
Unidentified Analyst: Okay, great. Thank you. So, second question is how the manufacturing capacity is running, like, are you guys in full capacity right now?
Eli Yaffe: No, not yet.
Unidentified Analyst: Not yet. So, like, what is the capacity left? I mean, if you can run enough for capacity basis, how many like [you can steer to] [Ph]?
Eli Yaffe: We adjust our manpower according to the level of IPOs that we have. And if we rely on more employees, we can produce more.
Unidentified Analyst: Or you can do a little bit more?
Eli Yaffe: If it will be justified we'll hire more employees, and we'll increase our sales by manufacturing more products, yes.
Unidentified Analyst: Okay. So, I have another question. So, about the new CapEx, so you said totally it is $115 million for -- it sounds like a two-year period for the total U.S. spend?
Eli Yaffe: No, the $9 million is over two years. That's the Phase 1. The $15 million is for the whole program.
Unidentified Analyst: Oh, okay, okay, that's great. So, around the first two years is nine meeting, once you fully invested, so when do you expect the capacity will be fully setup and running, is like in a stage or -- and just like, you need to have to wait for two years and then get the facility up and running?
Eli Yaffe: It's very good question. We will go slowly between now and the end of the program, but there will be a jump in the end of the program.
Unidentified Analyst: Okay. So, basically you were like incrementally during this year, maybe you can see some more capacity, getting up and running, right, that's my understanding, right?
Eli Yaffe: The capacity right now is dependent on the manpower. If we would like to have a break down, we have to invest in new equipment, which we [indiscernible] install the program.
Unidentified Analyst: Okay. So, basically, you're adding the program, adding more equipment, right? I mean you don't need to wait until the end of two years to use the new equipment, right? You can increase the capacity during the time, right?
Eli Yaffe: It's more equipment, but that will replace old equipment.
Unidentified Analyst: Okay, okay. So what's the difference, why I mean?
Eli Yaffe: It's kind of efficiency quality, less manpower required for the new equipment, more automation, more precise, more adapted to the market demand and be more precise.
Unidentified Analyst: Okay. So, basically also like, once you replace the old equipment, you also increase the capacity, right, is my understanding right?
Eli Yaffe: Exactly, with the new equipment, we will be able to produce our more panels.
Unidentified Analyst: Okay, so also increase the efficiency, right?
Eli Yaffe: Exactly, as I mentioned before, yes.
Unidentified Analyst: Okay, that's great. So do you have any kind of color on the defense contract, any -- could you give more kind of color on this?
Eli Yaffe: Well, usually we don't disclose the name of our defense contractors. On the 28th, you can see some of the names there and the activity that we mentioned with them, but with all our defense contractors, the market is going because of the security situation in Europe.
Unidentified Analyst: So like I mean, how big is the trend do you see like how -- what is the amount and like percentage increase do you see the order flow inflows?
Eli Yaffe: As I mentioned the order flow right now, the backlog is 10 more than the end of last year and book-to-bill ratio right now is 1.4. So we gained 40% more orders than what we produce.
Unidentified Analyst: Okay, that's great. That's great to know. And my last question, so about inflation pressure, you can see any inflation pressure, can you pass price to your customer, if you have any like labor expenses?
Eli Yaffe: Yes. Yes, as I mentioned before, there is a difference in the inflation rate between Israel and United States. So in United States it's easier because inflation in Israel is lower than the inflation in United States, so it's easily to increase prices in United States. And in Israel we do it with more difficulty, but we succeed to push the prices up based on the cost of -- the adjustment of the cost.
Unidentified Analyst: Sorry, I didn't get it. So, you catch the [indiscernible] you increase the price to [indiscernible]?
Eli Yaffe: In United States, we do it easily because there is different in the inflation rate in United States, which is higher than the inflation rate in Israel. In Israel we do it because it's accepted in Israel, and we do it up to the inflation rate that exists in Israel.
Unidentified Analyst: Okay. Okay, got it. Okay, that's all my questions. Thank you very much for taking my questions. Congratulations for the good quarter.
Eli Yaffe: Thank you, Michael. Thank you.
Operator: [Operator Instructions] There are no further questions at this time. Before I ask Mr. Yaffe to go ahead with his closing statement, I would like to remind the participants that a replay of this call will be available tomorrow on Eltek's Web site, www.nisteceltek.com. Mr. Yaffe, would you like to make your concluding statement?
Eli Yaffe: Before we conclude our calls, I would like to thank all of our employees for their efforts in continuing the company growth. I would like also to thank our customers, partners, investors, and the Eltek team for their continued support. Thank you for all for joining us on this today calls. Have a good day.